Operator: Good day, ladies and gentlemen and welcome to the Fourth Quarter 2008 Anderson Earnings Conference Call. My name is Francine and I will be your coordinator for today. At this time, all participants are in listen-only mode. We will be facilitating a question-and-answer session towards the end of this conference. (Operator Instructions). As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today call, Mr. Gary Smith. Please proceed, sir.
Gary L. Smith: Thank you, Francine and good morning everyone and thank you for joining us for the 2008 fourth quarter and year-end conference call. As you know certain information that will be discussed today constitutes forward-looking statements. The actual results could differ materially from those presented in the forward-looking statements as a result of many factors, including general economic conditions, weather and competitive conditions, and conditions in the company's industry both in United States and internationally. And additional factors that are described in the company's publicly filed documents including '34 Act filings and the prospectuses prepared in connection with the company's offerings. And also contains financial information of which as of date of the call the company's independent auditors have not completed their review, although the company believe these assumption upon which the financial information and its forward-looking statements are based are rate reasonable and can give no assurance that these assumptions proved to be. We are recording this and you can access it on the website. Mick Anderson, President and CEO, and I will be available for questions during the question. Let me turn it over to Mike.
Michael J. Anderson: Thanks Gary. Good morning everyone. As we announced yesterday in the press release, our full year net income is $32.9 million for the year or 1.79 per diluted share on revenues of 3.5 billion. This year's results were heavily influenced by significant lower cost to market inventory and contract adjustments made within our Plant Nutrient Group, which was a pre-tax total of $97.2 million. Last year the company reported net income of $68.8 million or 3.75 per diluted share, on revenues of 2.4 billion. These prior year results included $7.7 million in net after-tax onetime gains or $0.42 per diluted share. Although, our full year earnings could be viewed as respectable versus history since there are third best, this is overshadowed by the fact that I am deeply disappointed in our fourth quarter results. I feel we could have done a better job of managing our fertilizer inventory balances in future purchase contracts. The fourth quarter net loss was $33.4 million or $1.85 per diluted share on revenues of $770 million. This quarter included $84.1 million before tax of the aforementioned Plant Nutrient Group adjustments. This compares to the same three months period last year in which the company reported net income of $23.5 million or $1.28 per diluted share on revenues of $785 million. As required by accounting standards, we will continue to monitor the fertilizer markets and could further adjust the value of our year-end inventory, if significant price appreciation or depreciation occurs prior to the fillings of our 10-K at the end February. Due to the recent stabilization of the fertilizer market, I believe we have accounted for the majority and possibly all the inventory adjustments. Before we understand the total company results, let's take a look at each of the five business groups. Starting with the Grain & Ethanol Group. It had operating income of $11.9 million in the fourth quarter versus $30.1 million a year ago. Income from the grain business increased significantly this quarter over the prior year, but this is not the case with their equity investments. Grain business benefited from increases in both space and fee income. Conversely, income from the ethanol business declined $10.9 million during the most recent quarter to a loss of $2 million, which is primarily due to declined performance of the company's investment in the three ethanol limited liability companies. The fourth quarter loss from the Group's investment in Lansing Trade Group was $5.5 million to the $14.6 million decrease in profit from the prior year. During the quarter, Lansing Trade Group had respectable gross profit from operations over the recording of significant reserves due to counterparty exposure, led them to report this loss. But these reserves recorded, I believe that Lansing Trade Group is adequately reserved to the end of the year. Total fourth quarter revenues for the Group were $565 million. This includes $209 million of grain and ethanol sales made by the Group, in accordance with origination and marketing agreements between the company and its ethanol joint ventures for which it receives the fee. In the fourth quarter of 2007, the Group's total revenues were $548 million and included $89 million in ethanol joint venture sales. The grain in Ethanol Group's operating income was $43.6 million in 2008, which compares to $65.9 million in 2007. It should be noted, however, that there were $6.9 million more in onetime development fees and insurance claims included in last year's results. Through the first nine months, the grain businesses performance was lagging due to increased expenses related to the high prices of grain and basis deterioration that had been experienced earlier in the year. The business unit, however, ended the year with $21.8 million in operating income, which represents record results from operations from the $2.8 million business interruption gain from 2007 is not considered. For the year, the grain business had significantly improved gross profit from grain sales and a higher space and fee income. These, however, were offset by higher expenses, primarily interest and bad debt reserves. Conversely income from the ethanol business was $13.2 million in 2008, in comparison to $27.7 million in the prior year. The primary causes of this income decline were the combined performance, the company's investment in three ethanol limited liability companies during the second half of the year, and a $4.1 million reduction in development fee income. Percentage of ethanol margin per gallon locked in was not as high in the second half of the year. The equity income for Lansing Trade Group also declined by $6.5 million in 2008 as the end of the year with our share of the income being $8.8 million. And then already mentioned this was due to significant counterparty reserves being recorded during the fourth quarter. Total Group revenues for the year were $2.4 billion in comparison to $1.5 billion last year. The current year revenue includes $866 million of grain and ethanol sales made in accordance with origination of marketing agreements, which is $458 million more than it was reported in the prior year. Total revenues for the Group has increased this year due to a considerable increase in the both the value and price of grains sold and due to an increase in the gallons of ethanol sold. As I mentioned previously, while revenues for the Group are higher, such amounts do not service good predictors of income or economic performance for the Group as it is a commodity based business. During the fourth quarter, Rail Group generated revenues of $28 million and operating income of $3.3 million. Same period of 2007, total revenues were also $28 million and operating income amounted to $3.8 million. The average utilization rate for the full year, which is the percentage of the fleet and service was 92.7%, which was consistent with the 92.6% we experienced last year. Due to the decline in the rail car shipping industry however, a decline in the utilization rate was seen in the fourth quarter as the average drop to 91.1%. The majority of this decline accrued in December as double-digit declines were seen in rail traffic in North America. This reduced traffic as continued into 2009. Maintenance costs per car increased slightly during the quarter, after declining in the third quarter and this is something that Group continues to monitor closely. The Rail Group had an operating income of $19.8 million this year on revenues of a 134 million. Last year, the Group reported $19.5 million of income on revenues of a 130 million. The Group recognized $4 million and gross margin from the sale railcars and related leases during the year, over year similar gains of 8.1 million were recognized. Therefore, the quality of earnings during 2008 improved significantly. Absent gains from sales gross profit from leasing was higher in spite of the fact but some lease renewals remained at lower rates. This is due mainly to the growth in the size of fleet as a fact of the current value of our asset base yields wider relet (ph) spreads. Group now has approximately 23,800 cars and locomotives, which is 5% more than it's year earlier total. Growth includes the additional 43 locomotives, increasing the total to a 124. Both the manufacturing and railcar repair business experienced significant increases in gross profit during the year due to better margins in our filtration business and outstanding performance at our repair shop in Macon, Georgia. I'm pleased with the Rail Group results for the year as they are $300,000 ahead of the prior year in spite of gains from car sales being down 4.1 million. Our strategy of buying car in our target market segment is working well. That being said, the current slowdown in the general economy leading to a decrease in carloads and improved velocity in the rail loads, you've seen our utilization rate drop and this trend will likely continue. Downturns in the leasing market however also tend to provide us with car acquisition opportunities that could pay dividends in the future. Plant Nutrient Group reported an operating loss of $74.5 million during the fourth quarter in comparison to an operating income of $8.7 million in the prior year. This was a direct result of the $84.1 million in inventory and contract adjustments, primarily in the wholesale business taken during the quarter due to sharp decline in fertilizer prices. First, significant lower costs to market adjustments were made to reduce inventory to the current market value. Additionally losses were recognized on future purchase commitment that requires to buy the inventory above the current market price. Fourth quarter revenues for the Group were $112 million in comparison to $140 million reported last year. During the quarter, sales declined sharply, which resulted in volume being down 50% in comparison to the prior year. This volume drop was due primarily due to the result of de-stocking of the retailed dealer pipeline and delay in restocking due to the nutrient price deflation. This volume decline had a significant impact on the dollar amount of our inventory adjustment as it led us to have much higher inventory levels at the end of the year than we otherwise would have. Plant Nutrient Group end of the year with an operating loss of $12.3 million and in 2007 Group reported operating income of 27.1 million. Earlier in the year the Group benefited from high margins on sales which resulted from steep increases in fertilizer prices. Then, later in the year, the Group experienced the effects of the sharp decline in fertilizer prices, specifically within the nitrogen and phosphate markets. Unfortunately, the impact of those price declines upon our inventory levels at the time more than offset our previously earned income. Therefore, for the full year, the Group recorded $97.2 million in inventory and contract adjustments, again primarily in the wholesale business. Operating results of our two acquisitions this year and our farm center business however match or exceeded our expectations. Revenues for 2008 and 2007 were $653 million and $466 million respectively. Revenues were up significantly this year due to the increased pricing in the fertilizer market earlier in the year even though volume for the year was down close to 20%. As I mentioned earlier, I'm disappointed in how the Plant Nutrient Group ended the year. We are taking a hard look at the risk management processes in this Group and fully intend to make improvements that will make and prevent similar events in the future. That being said, based on what we are now seeing in fertilizing market, I believe worst is behind us and in 2009 the Group will return to profitability. I'll just also add I earlier said volume was down about 20% was actually 18%. During the fourth quarter, the Turf & Specialty Group had and operating loss of $1.1 million in comparison to an operating loss of $800,000 in the prior year; typical for the Group to incur a loss in the fourth quarter due to the seasonality of its one business. This year's fourth quarter results were also impacted by corn cob inventory fire at the Delphi, Indiana facility at the end of the year which led to increased expenses. Total revenues were $20 million for the quarter compared to $19 million in 2007. For the full year the Turf & Specialty Group's operating income was $2.3 million on a $119 million of revenue, versus last year revenues were up about $15 million and operating income was up $2.2 million. The 2008 results are attributable to the Group successful focus on value-added proprietary products. Turf product tonnage was up slightly from the prior year. Gross profit per ton was up considerably in spite of high raw material costs due to a larger percentage of sales coming from product such as Contec DG. The dispersible granule product line has continued to perform well and the Group continues to see products such as these as a growth area. Cob business had earning similar to the prior year despite tough the cob fire I just mentioned. I feel I should mention that the price decrease in nitrogen seeing in our Plant Nutrient Group did not have a noticeable impact on the Turf & Specialty Group as the Group primarily purchases nitrogen in small quantities and as it is needed, which mitigates the risk of inventory devaluation. In our Retail Group, total revenues were $46 million in the fourth quarter which were $4 million less than the same period of 2007. Revenues were down as the Group continues to be impacted by weak economic conditions that have led to an overall decline in consumer spending as especially effect of the holidays selling season. As the Group continued to do a good job of controlling costs in the fourth quarter, they were able to report an operating profit for the quarter of $1 million despite lower sales. Last year for the same period the Group had an operating loss of $600,000. The prior year results were significantly lower due to the $1.9 million impairment charge on certain retail assets taken during the quarter. The Retail Group's total revenues of a $173 million for the year were 4% below the 2007 total of a $180 million. Group reported operating income of $800,000 for 2008 while last year's the Group reported income of $100,000. This year-to-year income differential was caused by the same factors mentioned in the fourth quarter; the most notable which was the impairment. On a positive note, gross profit margins ended the year consistent with the prior year. This combined with the Group's cost reduction initiative allowed the Group to remain profitable despite the reduced consumer spending. Now, I'll turn the floor over to Gary for his treasures comment.
Gary L. Smith: Thank you, Mike. The company's 2008 effective tax rate was 33%, down 1.6% from 2007. This decrease was almost entirely due to a decrease in state of local income taxes. The favorable impact on state income tax credits that were realized from the company's interest and its equity... I'm sorry; interest in its ethanol partnership was 2.4% benefit net of federal income tax. We're projecting a 2009 tax rate of 37%. Our allowance for doubtful accounts appears a separate line item on the income statement and you'll note in 2008 year-end our balance was $8.7 million, up more than $5 million from the 2007 year-end. With the price volatility we've experienced in the commodity markets, we feel with the higher risk... there is a higher risk of loss in our Grain & Ethanol and on our Plant Nutrient Groups as a result of increased reserve for that exposure. Interest expense for the fourth quarter was $6 million about unchanged from year earlier. Interest expense for the full year totaled $21 million, up more than $12 million from last year. Both short-term and long-term interest expenses were higher $4 million and $8 million respectively. Our short-term average interest rates in the fourth quarter were down more than 3%, down to about 2% in fact and for the full year our average short-term interest rate was down more then 2% very positive trend here. The company's average short-term borrowings in 2008 were up by $133 million compared to 2007. During the fourth quarter our short-term lines of credit were totally paid off and the company invested excess short-term cash for a period of time. The short-term average borrowings during the quarter were only $3 million compared to $240 million in the fourth quarter of 2007. EBITDA for the fourth quarter was a loss of $41 million and earnings of $47 million a year earlier. Year-to-date EBITDA was a $110 million, down more than $40 million from 2007, a $151 million record. The 2008 fourth quarter pre-tax loss includes $12 million, which represents our share and affiliate losses. The 2008 year equity earning and affiliates totaled approximately $4 million, down $28 million from 2007. Net working capital ended 2008 was $331 million, an increase of $153 million or 86% from the 2007 level. Earlier in the year with our underwriters loan Fargo and co-bank we issued $195 million of senior ends security term notes, which provided us the flexibility to expand our short-term lines of credit. Our borrowings peaked at about $650 million during 2008. However, as I said earlier year end everything was paid off and we actually had $82 million in cash; that's $59 million more than we had a year earlier. At December 31st, our current assets totaled 856 million, a $49 million decrease from the year earlier balance. In addition to the increased cash, the company's account receivable were up $24 million, Grain & Ethanol receivables were up almost $20 million, prepaid expenses were up 49 million. The increase was due in part to increased pre-tax, prepaid taxes which we expect to return to the company very soon. Inventories were $437 million at the end of 2008, down $66 million from the earlier balance compared to 2007, the largest increase, largest change was in Grain & Ethanol with a decrease of $154 million. This change was driven by lower prices and fewer owned inventory bushels. At the end of 2008, we held 64 million bushels in the store that's both ownership and stored for other folks, that's up 2 million bushels from the year earlier. Commodity derivative assets current were down a 121 million from last year and commodity derivative liabilities short-term were down 54 million from the last year. Plant Nutrient inventories went up $81 million year-over-year. Total assets at the end of year were 1.3 billion, a decrease of 16 million from last year. This is a significant decrease, however, from our peak mid-year of 1.8 billion. So, there is a pretty significant move in our balance sheet over the 12 months. At the end 2008, our depreciation totaled $30 million. Excluding railcars, our total capital spending including investments and affiliates and acquisitions during 2008 was $81 million versus $59 million the same period year ago. Railcar purchases and sales, this last year, were 89 and $68 million respectively and that's compared to 2007's 56 million and $47 million respectively. Our long-term debt stands at 334 million, an increase of 145 million from 2007. And long-term funded debt to equity ratio is 0.9 to 1, versus 0.53 to 1 a year earlier. And obviously the increased long-term debt was supporting our ability to get into the capital markets to expand our short-term lines. So, there was some deterioration in our debt equity ratio. At the end of December, we had equity of 365 million, up 9 million from the year earlier and we did repurchase a few shares $77,000 during the fourth quarter. We paid our first quarter dividend in January of 8.05. We continued to get good support from our bankers and our syndicated lines of credit are in excess of $800 million, which includes a temporary flex line that will remain in place until April 2009 and we're looking forward to renewing these lines later in the year. Mike?
Michael J. Anderson: Thank you. Before we take your questions, I'll cover few more points. To conclude on a positive note, I want to reiterate some things. I am proud of this year, both our Grain division and Rail Group had record earnings from operations, excluding car sales and onetime gains. Also our proprietary product strategy within Turf & Specialty Group is proving to be successful. Further, our income this year was the third highest in the company's history with minimal onetime gains being reported. Last year's results included non-recurring gains offset by some non-recurring losses that added $10.4 million more pre-tax income last year, when compared to this year. I assume many of you are wondering what does 2009 hold. First and foremost, I expect our Plant Nutrient Group to return to profitability, especially considering the recent stability seen in the fertilizer market. Within in the Grain & Ethanol Group I expect mixed results as the Grain division should continue to prosper, although Ethanol division will most likely continued be impacted by the economics, the negative economics of the ethanol industry. I see our Rail Group continuing to be impacted by the slowdown in the rail shipment industry, which will lead to lower utilizations and lease rates. I believe there are Turf & Specialty Groups; proprietary product strategy should lead to continue growth for the Group. And I believe that our Retail Group will likely continue to be impacted by the economic downturn. As it relates to the current economic times, we are being prudent in regards to expenses. And are looking for ways to reduce and control costs throughout the company even as we look at the growth opportunities. In addition, due to wise and timely decisions we made last year, we're entering 2009 with a strong capital structure and liquidity on position. We also intend to continue growing as we have been for several years now albeit with appropriate caution given the current times. In 2008, we increased our income earning investments including increasing our Lansing Trade Group ownership percentage twice, increasing our grain storage capacity by 7.6 million bushels, increasing our rail fleet by 5% adding two more rail car repair shops and adding six Douglass Fertilizer in 3,000 line facilities to our Plant Nutrient Group. With that, we'll open it up for question-and-answer. Francine, we'll turn it back to you.
Operator: Thank you, sir. (Operator Instructions). Our first question comes from the line of Farha Aslam. Please proceed.
Farha Aslam - Stephens, Inc.: Good morning.
Gary Smith: Good morning.
Michael Anderson: Good morning, Farha.
Farha Aslam - Stephens, Inc.: First of all, just a detailed question on your equity earnings Mike. In the quarter you reported $11.8 million decline, and is Lansing was only 5 to 6 million of it and ethanol was only 2 million. What was the reminder?
Michael Anderson: Okay. Gary, you and I were talking about this before. See the minority interest lines... you want to explain this. We did talk about I said that you should be the one to explain. Fundamentally, it gets down to the Andersons own an entity called TAEI or tow thirds of entity called TAEI, which owns 50% of one of our ethanol facilities.
Farha Aslam - Stephens, Inc.: Right.
Michael Anderson: So, the TAEI income is flowing to our operating statements and had income. And then there is a --
Gary Smith: In addition to it's investment in ethanol.
Michael Anderson: And its addition to its investment the ethanol where there was a loss. So, you had --
Gary Smith: So we Marathon owns 50% of what is its entity, the Andersons owns 50% charges TAEI and we also have a minority partner Mitsui in that same TAEI. But they also, as Mike suggested, have some operating performance in there as well and that was profitable. So, any how that's --
Michael Anderson: And then there is one other thing, when we look at our total ethanol results, they were up... the results of the issue of the fee income that we receive which ends up being netted to our equity investment. So there are several things flowing into that, the net results from ethanol and you just can't pick it up off the equity line.
Gary Smith: Yeah. And what you're picking up is two lines and trying to reconcile and because there is operating income flowing in there, that makes it very difficult. I'll be happy to draw you a chart the next time I see you.
Farha Aslam - Stephens, Inc.: Okay. So maybe we follow-up on that one offline.
Gary Smith: Okay.
Farha Aslam - Stephens, Inc.: Then my second question is about the Plant Nutrients Group. Mike you noted that you anticipate Plant Nutrients to be profitable in 2009. But could you provide more color on how you see volumes flowing throughout the year in that Group and kind of what level of profit, I mean that Groups varied from sort of 5, kind of 3 million in pre-tax and come all the way up to 27 million?
Michael Anderson: Yeah, 27. Obviously, this early I wouldn't want to try and peg where in that range that it would be and other than effect, I will expect that rack of the range. Look so wide we were down 18% year-over-year. So it is a huge 50% was dropped in the fourth quarter. So the drop is in the second half of the year. I still think the way things are setup right now, we'd expect first half volume to be down year-over-year. And what we're hoping is that we going to get some more normal levels of margin. And as we get into the breezed into the second quarter and third and fourth quarter, we should get back to a little more normal volume. So I can't... this early in the game, I can't peg the range. I'm making in the statement profitability, I'm making the assumption that we have that we haven't backed bottomed or close to bottoming it in the markets that we don't have additional write-downs. We are going to need to buy more fertilizer to serve our customers this year. So I think the first half will bound to see continuation of a little lower volume, certainly in the first quarter if that's the case. Once we get into the planning season, I'm hoping volume fix up and then we start a new crop year. So, if we threw out this year from our history that 3 million was a low watermark for quite some time and the 27 million was by far in the way high watermark. So, I can't give you any more specificity at this point in time on that, other than it looks like we're back on to the positive trend.
Gary Smith: Corn prices have a significant impact on demand as well and of course they come off, they seem to stabilize at this level.
Michael Anderson: Yeah, that's a great point. The corn (ph) here over officially has projected 1.7 billion bushels. It feels like demand is a little softer than the building the balance tables and we don't have perfect peg on the size of the crop. But, if we have 1.7 billion bushel carryover growing to 2 billion in prices which has doped off in corn that to me doesn't suggest more than 85 million acres similar to last year. It could be little a lower based on what we see right now. So that doesn't... that's not what I would call a bullish situation, especially with fertilizers in the pipeline. But, if we go back a few years and our base acreage was more into 78 to 80 million right. So, it's still not in significant.
Farha Aslam - Stephens, Inc.: Okay. And when you look at your ethanol business and just the ethanol plants themselves, do you anticipate and turning positive and earnings at any quarter in the year?
Michael Anderson: That's a great question. And I'll answer in a couple of ways, the first is going to be kind of a hedge, which is just the relationship of corn and ethanol prices is really, really key to that and lately, lately meaning the last nine months of so, they have tended to move in large step at numbers that would result in a negative margin after, so a loss situation. And at least the way things feel right now, we're consuming at a rate of 10, 10.5 billion gallons of ethanol, the capacity that was put in place was in the I think 12 to 13 billion range. We've had shutdowns, we've had bankruptcies. The market I think is doing its rational job of reducing the amount of ethanol which has put in place as we don't need as much right now. The mandate for this year is, I believe in the range of 10.5 million of total alternatives. It's pretty consistent with what we're producing right now, but I'm not going to go into deep discussion of wins which are identification number to closer of every gallon. But there is between 1 and 2 billion gallons worth of those wins that could be used to substitute for ethanol production... I'm sorry ethanol consumption. Although, we think that there is good reason why they won't all be used in 2009 because the mandate goes up next year. So all that macro stuff up there and it just feels like unless something changes and we still have at least a year to go before we get to a situation where the market really needs more gallons than we're currently producing which suggests days in a pretty tough situation potentially a loss situation. Hopefully, cash flow positive, but potentially a loss. But then again, we got to wait to see what unfold this... the current administration is being alternative fuel friendly. We'll wait and see what happens if we were able to get today, the E-10 the maximum we can blend is 10% and those E-10 blends. I think there is lots of logic why that should be expanded to E-11, E-12, E-13 some modest expansion. I don't know if that's going to happen or not, but if does it's supportive to ethanol consumption and therefore for margins. If that doesn't occur, then we just have to wait and see if they maintain or pass through on the mandates. But I think '09 is going to continue to be a tough year as reflected by the bankruptcies and closures.
Farha Aslam - Stephens, Inc.: Okay. And my final question and I'll pass it on, when you look at basis trading opportunities and grain storage, income opportunities, could you share with us your outlook for 2009 versus '08?
Michael Anderson: Yeah. And first of all it turned out, we did gain back ever set and then some that we were down early in the year. The increased demand of domestic consumptions primarily driven by ethanol has changed the way grain flows. And in our opinion creates good trading opportunity that both for us and then lancing in a broader geography. We expect that to continue. We've invested significantly in our man power, our grain originators and our emergency to work with farmers. So we feel pretty good about our ability to capitalize on that. From the pure basis appreciation from space income with the carry outs that we now have, if we assume we have a reasonable crop which today is a good assumption, I think things look pretty good there also. So I feel reasonably strong on our base grain trading business from the perspectives of bases and margin and space income. Of course, now we're about to enter the first deplaning season and we'll have the first scare on the crop and then will probably a scare on throughout, got to manage through all that. But it's setting up as a good start.
Farha Aslam - Stephens, Inc.: Okay. Thank you for your answers.
Operator: Our next question comes in the line of Heather Jones of BB&T Capital Markets. Please proceed.
Unidentified Analyst: Hey guys, good morning. This is Brett Hunley (ph) speaking on behalf of Heather. How are you?
Gary Smith: Good Brett.
Michael Anderson: Good. You didn't sound like Heather.
Unidentified Analyst: I know. Bye the way thanks for taking my question. Just wanted... my first one was it certainly sounds like you expect fertilizer prices to recover here from current levels. And we would agree with you and due to this perceive floor that we're kind of talking about the stability in the market, I was just wondering if you could give any comments in your opinion kind of when pricing comes back and maybe the magnitude of that pricing?
Michael Anderson: And you're specifically talking about fertilizers, is that correct?
Unidentified Analyst: Yes.
Michael Anderson: Well, I'd say in nitrogen we've seen, each type of nitrogen, this is generalization around nitrogen, not specific to anyone type. We've seen a nice balance from the floor and a reasonable modest which suggests and some buying on the part of both wholesalers and retailers to some extent and we're about to get the top dressing season. So I mean that feels like it started. Phosphate we've seen an uptick in trading. We've seen a little pop of the bottom, say at floored levels, but there is a still pretty widespread between floor interior and farm days and I would say the activity is although it picked up from nothing is I would described is relatively slow. And I think my perspective is phosphate will be one thing that will be... there is a real likelihood that will shape that the amount of consumers here in the case of potash. That's a different ball game of, at the producers level the prices have not dropped that much and they are at levels where those folks in the chain and at the end of the chain farmers really don't have interest in restocking it. So, I don't have a good handle on how that is going to play out to tell you the truth. Some point in time all this will get reconciled. So it's happening in nitrogen, it's starting to happen in phosphate and it's slow in potash.
Unidentified Analyst: That's really helpful. I appreciate it. Also looking at rail and you kind of talk a little bit about your outlook for rail, the economic weakness that's been continuing there and you spoke about utilization rates kind of, if I understand correctly just continuing the slide a little bit. I'm just curious if you could put a little bit more color to that? Do you think utilization rates are in danger of falling substantially more or just continuing to slide somewhat?
Michael Anderson: Yeah, I will. That's really a great question. I don't have the exact number of months, but I'm going to say for 12 to 18 months prior to December of last year, I would say on the average rail and weekly rail traffic was announced. It tended, it seem to basically be 1% or 2% lower than the other year, maybe a month or two it was but it's in that range. In December it was 17% lower and in January it's been in double-digits lower also. So we're right in midst of a real, real big shift from modestly lower to largely lower. And as you take more cars off the road that means railroads in service, those are on-road that much better. The worst utilization that we've ever had and this is real early in our history when we just didn't have as bigger fleet was around 80%, maybe 79% or some like that. We roughly have average outstanding lease term in the close to three year range, maybe a little less than that. And in any given year we might have 20 to 25% of leases coming to some of them are per damn leases and what not. So we fortunately the vast majority of fleet is insulated this year because we won't have anything coming due. And if that stuff that does come due it's not all going to park. So that's all a backdrop for the shorter answer which is we would expect utilization. As long as we see these kind of reductions, we'd expect that to negatively impact our utilization and we would see it drift lower. And our job as cars get parked, and our job is to just work like heck to get them place. So I think it's up. It's going to be a pulling the belt time in this business. And I want to make sure I mentioned that our strategy has been used cars, diversifying the type of cars in the industries. And it's been to be a reasonably patient buyer, on assets that when you buy and even though they are used that might be 25 years old, have another 25 to 35 years of life. So, we said before these conference calls, on the one hand you get excited about the earning from lease and from lease side that are probably means for us, we will buy many. Now we are in the other side of the cycle, which is get a little down because you don't have as much income. But it, usually it becomes the opportunity to reload a little in cars. So these utilization will likely trend lower that will have an impact on the amount of cars that we don't have place. I would expect lease rates to stay low this year. Ethanol is bigger concerned as we get in place because as things come off lease and we've written down the asset, we've got more bases and if we can generally handle, often handle a lower lease rates we still have a reasonable spreads. So freight is often been a good leading indicator of the economy of this nation. And it's surely has been and is right now. Does that help?
Unidentified Analyst: Yeah, that actually helps me think about that better. So I appreciate it. My last question and I'll jump back in. And kind of two part question on lansing. You mentioned that they were adequately; you believe they were adequately reserved at the end of the year. A) do you think this is just a onetime event or do you expect further write-downs here? And then b) are these reserves based on events that have happened in the interim or are they based on anticipation of defaults so that these would eventually reverse and then possibly be a benefit to you down the line?
Michael Anderson: Very good question.
Gary Smith: It was mainly events that have occurred is the issues that they are working on. And so that's where the exposure has been. And you never know if you've taken a big enough reserve or you've overtaken enough reserve, you I think you take your most educated assessment of it and I think that's the position they have taken. I think they have taken this thing very seriously, but they are gone after the accounts that they believe that they can get. And what's happening in the biofuels industry as we referred to earlier, there is people there that are struggling. And when we're selling grain into those particular kind of entities and they begin to struggle and you have contracts on and positions, that's when you get pinched. And so that's the kind the kind of situation... some of the situations that they are struggling with. But we think that they have taken the right amount of reserves and their CPAs do as well. And so we'll make sure we work hard to get taken care of.
Unidentified Analyst: Okay. I understand. Well, thanks for your time guys.
Gary Smith: Yeah.
Michael Anderson: Thank you.
Operator: Our next question comes from the line of Michael Cox with Piper Jaffray. Please proceed.
Michael Cox - Piper Jaffray: Hi. Good morning and thank for thanks a lot for taking my questions.
Gary Smith: Good morning, Mike.
Michael Anderson: Good morning, Mike.
Michael Cox - Piper Jaffray: My first question is on the Plant Nutrient side. It seems from what we've been hearing a bit of a disconnected trend in wholesale pricing and then pricing to the farmer because of inventory levels within the channel. And I believe you guys would see really a whole gamut of that. Just be curious if you've seen same what your thoughts are on channel wide inventory levels and the possibility of further price decline through the farmer truly spur that demand if we get closer to the plants this season?
Michael Anderson: Yeah that's a great point because right at the farm gate they are given back. I don't see as much of an issue as nitrogen generally, because it's kind of a resolved itself. And phosphates it's a little bit less selling. And it depends on the type of phosphates, and potash we haven't resolved result this totally. And I don't, I think there is going to be a very conservative buying. So we don't have near the spread from origin source manufactured nitrogen to the farm gate as we do in the other two. And my belief is that both in phosphates and potash, let's take phosphates first because I think there is more in the pipeline generally that those of us in are position or at the farm center, your own inventory, you've got the reality of dealing with the market that's crash. You take some write-down but at the same time, you will try to work through that inventory best you can. In our wholesale point of chain, I think we believe in most of that's been dealt within reconcile. At the retail side, it feels somewhat similar, even though there is a fairly right price between say Central Florida and our farm gate situation. But we'll see, I think the bottom line of it is that cures in the spring that it's probably going to be a sharp pencil on the farmer's going to say, I'm going to put down a little less P&K or a lot less. So there is maybe a little risk in some at the farm gate deterioration, but on the phosphate and potash like I say, I just don't know how that's going, in any sense of how that's going to play out.
Michael Cox - Piper Jaffray: Okay.
Michael Anderson: A lot of productions have been taken out. The producers are holding strong in their positions, the farmers holding strong on their positions.
Michael Cox - Piper Jaffray: Okay, that's helpful. And looking bigger picture, I know that you've elected a new way from giving formal earnings guidance that, I was just hoping may be you could help us see some of this together because it seems that on the Plant Nutrient side expecting to swing back to a profit, the commentary around rail seems a little cautious, ethanol losses in the, on your equity ownerships stakes collectively to continue leases the situation doesn't changed materially. So having all this together, it seems like maybe the biggest delta is on the plant nutrient side swinging back to profit. So should we expect earnings growth in 2009 or is it still this very difficult to make that clear?
Gary Smith: Let me comment on the guidance first. We haven't made an absolute decision. We typically have done that at the end of the first quarter. And my Q&A with you and the other analysts of them who is doing, who are the companies that are actually issuing guidance and who are not and why and what's specifically could we do to sure up our communications with the market if we decide not to. But the jury is out whether or not we give guidance. And so I said, so it's been at the end of the first quarter so.
Michael Cox - Piper Jaffray: Okay, okay. I guess absent that anything near you just in terms of preliminary thoughts on how the different components will add up as you consolidate them together and relative to the '08 performance?
Gary Smith: How we different components, let's restate your question truly.
Michael Cox - Piper Jaffray: Well, given it directionally it seems that that certain components are expected to show improvement in '09 whereas others are not and maybe just give a sense of order of magnitude as to, will the positive, that way the negatives and lead to growth in '09, is that the current thinking?
Gary Smith: I can't specifically say one way or another. I mean if you look at the corn grain business, it looks great. I mean if we have a big carryover there should be greater space and for our merchandising income. Ethanol I think we've talked about pretty clearly that the margins are flat, negative and that could be 12, 18, 24 months period before it turns around. Lansing, we think that will get back on track. And so we're a 50% holder of that particular entity. So that's a good position to be at. And I've got a lot of new creative ideas and we're always coming up with something unique. And then we've already talked about Plant Nutrient. Hopefully, it backed above the average of the last four or five years. If you drop out the three and drop out the 27 and start looking at the average we've experienced, obviously we've invested heavily with Douglass Mineral processing and some other features that should provide value. And those entities are performing fine. Rail, with the slowdown coming, I would expect to see a bit of the drop-off in profits if we have a significant lower utilization rate. So --
Michael Cox - Piper Jaffray: Yeah. That's very helpful. Thank you very much.
Gary Smith: Okay.
Operator: Okay. [Operators Instructions]. Our next question comes from of Joseph Gomes of Oppenheimer. Please proceed.
Joseph Gomes, Jr. - Oppenheimer & Co.: Good morning.
Michael Anderson: Hi Joe.
Gary Smith: Hi.
Joseph Gomes, Jr. - Oppenheimer & Co.: I just wanted to kind a go back on fertilizers for a second. You guys mentioned that you were, at this point time with the big carry-off in corn, maybe corn acres are little bit softer than they were last year. And given that, would that math suggest that the maybe the nitrogen volumes and prices might still be soft going forward this year?
Michael Anderson: Let's start, I think there is a possibility it could be flat with last year to a little down. It's still a sizeable uptick in acreage if we went back a few years. I do believe the pipeline is not, is still has inventory in it. I don't think we're unique on that. But I can only speak from our own situation which is we need to buy more fertilizer to services the acres that are going to be planted. So you've got and I got to believe others do too. So you've got vast dynamic being there at from buying who have the acreage dynamic, which I'll say somewhat, I'm going to just say neutral right now.
Joseph Gomes, Jr. - Oppenheimer & Co.: Okay.
Michael Anderson: And the pipeline dynamic which, it's hard, it feels like there is probably a little more in the pipeline right now in this time or a year ago, but last year we had the escalation going on. It's hard to really understand that and I would say that either still a real dynamic out here, although the world is in a, in general I can say recession we still need to keep planting ground and nutrients are key production. And so guys see how that all plays out. So I'm not trying to pit to present a bullish picture on fertilizer prices. Its just I'm trying to pay more of a picture of there is reason for us to feel like we, at least in the near term have set a bottom in at least two of the three main nutrients. And we'll find out how that plays out.
Joseph Gomes, Jr. - Oppenheimer & Co.: Okay. And on the ethanol business, you've given that you are seeing you're talking about maybe year, two years of flat or possible even negative performance. Are you guys in, are your partners still committed to this industry? And if you are committed to it, would the fact that there are so many distressed assets out there be of interest to you?
Michael Anderson: I was wondering on that. I was wondering on the second half of the question came, but I'd like to first half too. We have two wonderful major partners and some wonderful minor partners. The major ones being Mitsui and Marathon, and they play in the world energy market. And I feel really good about the partnership and our mutual support of each other and commitment. And commitment, of course, doesn't necessarily need for all, but the commitment to this industry. On the second part of the question we went back about 12 months ago or so and similar question came up from our perspective as we can see some bad things maybe coming on horizon. But, there was, there were a lot bankruptcies and there was I'm going to just say a sense that it was a good, well producing ethanol plant. New work, you might get a discount to new production costs but it wasn't going to be a deep discount. Now we have Andersons just announced along with bio energy side that they acquired that they are going to take those to auction. And we see others going in that direction. And I'm not going to, I can't even possibly predict with they might trade out at. But given what's going on, we feel it's a logical time that we now look. And look with some seriousness that potential opportunity within all that. And from a strategy perspective, our strategy would be somewhat similar. We would want to do with partners and not want to do it alone. But I can't... now having said that, have no clue at what these plans are going to go for. And have a sense of what we might have some interest at, but whether that interest is enough to acquire anything as a whole another ball game.
Joseph Gomes, Jr. - Oppenheimer & Co.: Okay. And kind of an additional-on to that, you guys ended the quarter with a fair amount of cash on the balance sheet. And assuming nothing happens on the ethanol side, I think given the current stock price, do you guys see your own stock as a potential investment at this point?
Gary Smith: Well, we did purchase 77,000 shares at the end of last year and end of fourth quarter. So we are authorized from time-to-time. We'll consider that, but that's not something that we're not sitting ready to take a bunch off the market, let's put it that way. Our objective is to remain with a strong balance sheet. I think we're in a time where the credit markets are so weak that excess cash is something everybody needs. And frankly we're in an industry that has a lot of volatility and we have to have a good strong balance sheet to get the bank clients, we need to support the margin calls and inventory and receivable investments that we make to run our regular operating businesses.
Joseph Gomes, Jr. - Oppenheimer & Co.: Okay, great. Thanks.
Michael Anderson: Yep.
Operator: Our next question comes from the line Farha Aslam of Stephens, Inc. Please proceed.
Farha Aslam - Stephens, Inc.: Thank you for taking the follow-up. Your railcar numbers were down in the fourth quarter versus the third quarter. Mike, did you sell railcars in the fourth quarter?
Michael Anderson: Let me get... in the fourth quarter... this year we had a very, very small amount, basically nothing. And last year we had about a quarter of a million dollars. Last year, we had a really strong finishing our manufacturing business. Frankly on a recent our base rail leasing car, I think if we get out it was flat year-over-year. But the change was in car sales and our manufacturing business. Does that... I mean, is that where you're going?
Farha Aslam - Stephens, Inc.: Yeah. And then as a follow on to that rail business, what's your appetite for new railcars and what are the opportunities in terms of M&A you're seeing in the market right now?
Gary Smith: New rail cars?
Farha Aslam - Stephens, Inc.: No used, I think --
Michael Anderson: Our appetite, I would say is reasonably strong for used railcars. And we have a process that we go through on what's offered and just have to go through the process that we have. And if it fits the bill we're interested, where we would expect to be able to buy cars in this cycle. But it all depends on, what value, what lease streams and our view of residuals and our view of creditworthiness along the away. So, we have an appetite. We would expect are hopeful that we'll have some more shops this year. It's not a promise. But we look for some opportunity there. And it's possible in a circumstance like this that there might be as opposed to just buying some fleets of railcars. It's possible that we, something might develop or we might have a shot at something what that would be more in M&A like. But I'll call that it depends. This business, we're committed to. We know the utilization, in lease rate challenges we are going in these year. We also know that it creates opportunity. And so we are looking forward to being to capitalize on those opportunities.
Farha Aslam - Stephens, Inc.: Alright. Thank you very much.
Gary Smith: Thank you.
Operator: Ladies and gentlemen, that concludes the Q&A portion of the presentation. I would now like to turn the call over to Mr. Gary Smith.
Gary Smith: Well, thanks for joining us. Mike you had few comments?
Michael Anderson: Yeah, just thanks for joining us. Next conference call Tuesday, May 7th at 11:00 for our first quarter results. Hope you can join us that time. And have a great day. See you.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a good day.